Operator: Good morning. My name is Jone, and I will be your conference operator today. At this time, I would like to welcome everyone to Valens Semiconductor's First Quarter 2024 Earnings Conference Call and Webcast. [Operator Instructions] Opening remarks by Valens Semiconductor management will be followed by a question-and-answer session. I will now turn the call over to Lisa Fortuna, Investor Relations for Valens Semiconductor. Please go ahead. 
Lisa Fortuna: Thank you, and welcome, everyone, to Valens Semiconductor's first quarter 2024 earnings call. With me today are Gideon Ben-Zvi, Chief Executive Officer; and Guy Nathanzon, Chief Financial Officer. Earlier today, we issued a press release that is available on the Investor Relations section of our website under investors.valens.com. As a reminder, today's earnings call may include forward-looking statements and projections, which do not guarantee future events or performance. These statements are subject to the safe harbor language in today's press release. Please refer to our Annual Report on Form 20-F filed with the SEC on February 28, 2024, for a discussion of the factors that could cause actual results to differ materially from those expressed or implied. We do not undertake any duty to revise or update such statements to reflect new information, subsequent events or changes in strategy. We will be discussing certain non-GAAP measures on this call, which we believe are relevant in assessing the financial performance of the business and you can find reconciliations of these metrics within our earnings release. In the coming weeks, we will be attending the Oppenheimer 9th Annual Emerging Growth Conference and the Oppenheimer 25th Annual Israeli Conference in Tel Aviv, Israel. If you are interested in meeting with us, please e-mail us at investors@valens.com. With that, I'll now turn the call over to Gideon. 
Gideon Ben-Zvi: Hello, everyone, and thank you for joining Valens Semiconductor's first quarter 2024 earnings call. On our last call, we discussed the macroeconomic headwinds that would impact our business in 2024 and the first quarter operating environment was in line with our expectations. While we were pleased to report some upside relative to our previously reported guidance, we continued to be impacted by ongoing slow inventory digestion in the audio-video market and in the Automotive segment. Additionally, persistently high interest rates fueled by creeping inflation continued to impact our business landscape. Despite this environment, Valens Semiconductor remains determined to expanding our collaborations and partnerships across the diverse verticals we serve, and we made good progress in this regard during this quarter. Later in the call, Guy will dive into the details. But for now, I want to cover Valens first quarter's performance at a high level. We are pleased to report that our revenue exceeded the top end of our guidance at $11.6 million. GAAP gross margin for the first quarter came in at 59% and adjusted EBITDA loss was $7.1 million, better than our guided range. Valens Semiconductor's robust balance sheet with $139.8 million of cash and cash equivalents allows us to continue investing in innovations and pursue long-term growth opportunities we are looking to weather these headwinds. Now let me turn to our performance and the trends we are seeing in the markets we serve. Starting with audio-video; as we discussed last quarter, our ongoing investment in expanding our presence within multiple verticals of our audio-video market enables us to capitalize on positive long-term trends, thanks to the opportunities presented by the latest product additions to our portfolio, in particular, the VS6320 and the VA7000 chipsets. We estimate that these verticals, which include videoconferencing, industrial and machine vision could represent a total addressable market of approximately $1 billion per annum. We are currently in the process of outlining this opportunity in a modified strategic multiyear plan, which we expect to communicate to the market in the coming months. Within the videoconferencing vertical, a recent Frost & Sullivan report states that over $3 billion global videoconferencing device market targeted by our customer is undergoing fundamental shifts. Despite current market conditions, video communication is becoming essential to the new office and conference room settings, creating greater market adoption. To this point, the CEO of Logitech, one of Valens customers recently stated that the [indiscernible] in videoconferencing is enormous. He also said, if you look out 10 years, it makes perfect sense that all conference rooms will be video-enabled. We obviously agree with this market leader assessment. This is consistent with what we have heard from additional customers who say the key growth drivers of this market are hybrid work and modernization of meeting rooms. There is growing demand for multi-camera rooms with higher attach rates of accessories and rapid innovation of AI in camera technology that enhances the meeting experience. Of course, many of these Pro-AV devices require high-performance extension, Valens Solution are ideal for delivering a seamless plug-and-play user experience for hybrid environment and multi-camera rooms. As the global videoconferencing device market continues to grow, so will the need for our robust connectivity solutions. An example of how we plan on capturing the value of the increasing global videoconferencing market is our VS6320, a first of its kind, USB 3.2 high-performance extension solution. The VS6320 is a game changer in the market, solving connectivity problems that exist for current technologies with a combination of multi-gig bandwidth and lower USB extension, enabling new use cases. We are very proud and have great expectations from this new welcomed member to our chief family. We introduced VS6320 in Q4 2023. And since then, it was already designed into over 30 products and the interest from additional customers continues to build for this chipset. We anticipate multiple announcement and product launches as early as the InfoComm International Trade Show this June. We are excited to see the initial backlog and expect sales to further ramp up during the second half of 2024. The VS6320 also has applications above and beyond videoconferencing, and we expect to see the chipset to begin powering innovation in multiple markets. Moving on; as you are all no doubt aware, there is a rise in the use of AI across industries. For many applications, especially those requiring high-resolution, real-time video and data aggregated for multiple cameras, a high-performance connectivity solution is often required. Valens Connectivity solutions have the potential to play a pivotal role in facilitating the adoption of artificial intelligence across multiple industries. An example of this is our collaboration with Taiwan-based AI image processing company, iCatch technology, which aims to introduce a multi-camera solution based on their SoC and Valens VA7000 chipset for the videoconferencing and machine vision markets. With our VA7000 chipsets, we enable a robust, high bandwidth, zero latency connectivity infrastructure enabling real-time video processing and decision-making that is required for enhanced AI applications to-date. ICatch also plans to launch an AI-enhanced multichannel surround view monitoring system for the Automotive industry using our A-PHY based VA7000 which further underscores the versatility and impact of our high-performing technology across different sectors. Moving to Automotive; overall, our automotive business is stable. As you know, our first-generation VA6000 chipsets are using Mercedes-Benz Infotainment and telematics systems. 2023 was our first full year of selling into a broad range of Mercedes-Benz model, including their EV models. Between the fourth quarter of 2023 and the first quarter of 2024, we saw a reduction in revenues in our automotive business due to inventory digestions. With our asymmetric VA7000 MIPI A-PHY based chipsets, we continue to make encouraging progress in various evaluation processes. Last month, we announced a significant milestone in our collaboration with Sony Semiconductor Solution Corporation, as we jointly completed EMC and interoperability testing of a multi-vendor A-PHY link. Ideally, this will lead to a mature Sony A-PHY integrated image sensor that is compatible with our VA7000 deserializer chip. In addition to deepening the collaboration between Valens and Sony, one of the top three automotive sensor supplier in the world [indiscernible] announced that we are developing an 8-megapixel A-PHY camera module of ADAS system that will prepare in the coming months. [indiscernible] earlier this year, we continue to see the strong interest in our innovative technology from the automotive market. During the quarter, we invested in following up on new and interesting opportunities, which resulted from our demonstrations at the show. Nowhere was this more apparent than in our EMC shootout where our VA7000 A-PHY chipsets outperformed competing proprietary extension solutions. Our chipset was able to withstand around 20x more noise than competition. As the industry is evolving and the OEMs are pushing to integrate more sensors at higher resolutions with increased bandwidth requirements, the fragility of the links require high-performance connectivity. Keeping a resilient link between a camera and an SoC is crucial for guaranteeing ADAS performance and passenger safety. This MIPI A-PHY ecosystem was further strengthened this quarter by our partnership with Black Sesame Technologies to enable the integration of A-PHY connectivity into their autonomous driving platform and later into the cross-domain computing platform, leveraging the VA7000 chipset. Black Sesame Technologies will offer and support the A-PHY connectivity standard for its automotive OEM and Tier 1 customers. Black Sesame Technologies is the leading automotive grade computing SoC and SoC-based intelligent vehicle solution provider. According to the Co-Founder and President, Black Sesame decided to move forward with these implementations because of the significant interest they see for MIPI A-PHY connectivity, both within China and around the globe. Of course, we also continue to work closely with Intel Foundry Services on developing the next generation of our A-PHY compliant chipset for the Automotive sector. We announced our strategic collaboration with IFS earlier in the first quarter and are proud to be partnering with one of the most important innovators in the industry. During the first quarter, we also announced our latest chipset innovation, the VA700R engineered to address critical visibility challenges faced by truckers on highways. This groundbreaking solution offers a combination of bandwidth and lane distances, enhancing both surround view and rearview visibility. Our VA700R chipsets can serve as the fundamental connectivity infrastructure empowering automotive OEMs and Tier 1 suppliers to forge future innovations. The VA700R tests the stage for a new era of advancements in the trucking industry to assist drivers in navigating challenging conditions, including significantly compromised visibility. With the robust capabilities of our chipsets, tracking safety and operational efficiency stands to be significantly enhanced. We believe that our technological innovation, combined with our ability to identify opportunities within the industry could position us to take advantage of a total addressable market in this particular automotive segment, it could reach about $4.5 billion per annum by 2029. While the automotive market continues to suffer from slower decision-making process, in light of the macroeconomic environment, we remain confident in the ability of our technology to play a leading role in the in-vehicle connectivity solution market. With that, I will turn the call to Guy to discuss our financial performance in more detail. 
Guy Nathanzon: Thank you, Gideon. I will start with our first quarter 2021 results and then provide our outlook for the second quarter. Starting with our first quarter 2024 results; we achieved quarterly revenue of $11.6 million above the high end of the guidance range compared to $23.9 million in the first quarter of 2023. First quarter 2024 gross profit was $6.8 million compared to $15.8 million in Q1 2023. First quarter 2024 gross margin was 59.0% compared to 66.1% in Q1 2023. Non-GAAP gross margin reached 62.0% compared to 67.2% in Q1 2023. The change compared to Q1 of last year reflects lower total revenue, which resulted in lower fixed cost absorption, evaluation of certain cost of inventory and the larger share of automotive revenue compared to audio-video, which is much higher gross margin. Operating expenses in Q1 2024 totaled $18.1 million compared to $22.9 million in Q1 2023. Research and development expenses accounted for 56% of the Q1 2024 operating expenses coming in at $10.1 million compared to 61% of the Q1 2023 operating expenses or $14.0 million in Q1 2023. SG&A expenses were $8.0 million compared to $8.9 million in Q1 2023. Turning to net loss and adjusted EBITDA. Q1 2024 GAAP net loss was $10.0 million versus a $5.4 million net loss recorded in Q1 2023 and adjusted EBITDA in Q1 2024 was a loss of $7.1 million compared to a loss of $2.9 million in Q1 2023. GAAP loss per share for Q1 2024 was $0.10 compared to $0.05 for Q1 2023. Non-GAAP loss per share in Q1 2024 was $0.06 compared to $0.03 in Q1 last year. The main difference between GAAP and non-GAAP loss per share was due to stock-based compensation and depreciation. Turning towards balance sheet; we ended Q1 2024 with a strong balance sheet with cash, cash equivalents and short-term deposits totaling $139.8 million and no debt. This compares to $142.0 million at the end of Q4 2023. Our working capital at the end of quarter was $153.3 million compared to $158.8 million at the end of Q4 2023. Our inventory as of March 31, 2024, was $12.5 million, down versus $13.8 million at the end of Q4 2023. We continue to carefully manage our inventories and have effectively reduced them over the last four quarters. Now I would like to provide our guidance for the second quarter. When we reported our full year 2023 results at the end of February, we guided that second quarter revenue would be relatively flat compared to the first quarter. Due to slightly improved customer demand compared to the original forecast, we currently expect second quarter revenue to be in the range of $12.5 million to $13 million. We expect Q2 gross margins to be in the range of 52.0% to 52.5%. Adjusted EBITDA loss in the second quarter is expected to be in the range of negative $8.3 million to $8 million. Visibility continues to be limited, so we aren't providing guidance beyond the second quarter at this time. However, for the medium and longer term, we remain confident in our growth potential and we'll be ready to continue to execute our growth strategy with an even broader portfolio designed to penetrate untapped markets and verticals and enable the evolution of AI-based applications when the industry recovers. I'll now turn the call back to Gideon for his closing remarks before opening the call for Q&A. 
Gideon Ben-Zvi: Thank you, Guy. As we look at the balance of 2024, Valens Semiconductor will remain committed to executing our strategy and capitalizing on the promising opportunities within our target markets. Our innovative connectivity solutions and highly sophisticated chipsets position us to capture future opportunities that will continue to make a meaningful impact across a diverse set of growing industries. Our strong balance sheet provides us with the flexibility to continue to invest and innovate and importantly, to navigate dynamic market conditions. Before opening the call for questions, I want to express my gratitude to our exceptional team whose hard work and dedication are the driving force behind Valens Semiconductor. With that, I will now open the call for your questions. Operator? 
Operator: [Operator Instructions] The first question is from Suji Desilva of ROTH Capital. 
Sujeeva De Silva: First question is on the AV market for conferencing. I'm wondering -- know what maybe some early signs of the traction you might see Gideon, into this very large market opportunity, I don't know, conferences penetrated. Something along this line or key customer programs so we can understand sort of how this might track? I know you have a multiyear plan coming up, but I just wanted to get some ideas. 
Gideon Ben-Zvi: Thank you, Suji. And that said, do you want to ask me the second question now or you want me to first me answer then you? 
Sujeeva De Silva: My second question, sure. It's on automotive, whether the China market with Black Sesame -- how that market opportunity differs from a dynamics versus the global market. 
Gideon Ben-Zvi: Okay, great. So thank you for both questions. And I thank you and welcome back to our quarterly meeting, and I'll start with the first question. The AV market, which we were playing many years, as we were playing in, I would say, the high end market. And the two new members of our -- the [ stewardship the two ] members in the family, the VS6320, which is a USB 3.0 extension and the VA7000, which was taken from automotive, open for us market which are a lot bigger. I call it -- in our call I said, from being the king of the [ Pablo ] we're going to be a price in a very big lake. And we are very enthusiastic to be there. And let me be -- elaborate a lot more. Think about your room and everyone on the conference room that they have a television in front of them. And sometimes the camera is still on the laptop, sometimes the camera is on the TV. And if you want another friend to come and join you and to speak to other two, three friends, this is what's called a huddle room. And we're speaking about 100 million rooms in the world that are waiting for a solution. We have a unique solution here and not only a unique solution. It's a solution that have really high technological barrier like it's a -- it's one of the chips we're the most proud on our ability to bring to the market. As of the VA7000, we go back to the high-end conference room and the tendency to have more than one camera because today what happens when you have a Teams call doesn't stay at home, you see them with all the glory and big faces on the screen, and those [ who bother ] to come to work. You see them as the smallest arm because they are all in the conference room very remote. And what we wanted to do is the kind of democratization of the conference room by having -- using artificial intelligence that you see every one independently, whether it is home or not at home. And this is done by multiple cameras. And at the end of the day, you need this multiple cameras to be efficient with high bandwidth, no compression, no latency because you have to synchronize between voice and people and so forth. It cannot be done with latency and with better frame rate. And this is exactly where our opportunity is. So actually, we are going from a market which we are very happy to be in a niche, but to a market which is a really blue ocean for us, and we are very excited about it. That's the first question. Tell me if it's okay. If we can move to the second one? 
Sujeeva De Silva: Yes, that's good. 
Gideon Ben-Zvi: Thank you. And about the second one is the Chinese market and Black Sesame. We're all aware of the trade war, and we're all aware that a lot of the Chinese companies try to create some kind of independence and Black Sesame is one of those companies who tried to have a solution and not try -- they have a solution for the ADAS. And ADAS is a very big dependor in great quality of data because you have to aggregate a lot of information from different cameras in radars and fuse them -- fuse them at the same time. And companies like Black Sesame, not the only one, understand the dependency in this need. And just I will be a little bit technical, but just for a second is more the resolution is higher, the more fragile is the line to distortions of electromagnetic and so forth. And the modern cars who come in just this year are starting from a higher point because they are -- because they are modern. It's part of the last entry will come with the more advanced system. And they always -- and these companies will start with a full resolution, they don't compromise. And will have a sensor that can see more cases of potential accident. And I'll be again a little bit technical. What the distance you need to see a small foot of a small child that you can recognize, it depends on the level of bandwidth of the resolution you have in the camera, you might see it with 8 megapixel camera and [indiscernible] 4 megapixel camera. And this has a direct connection towards the [indiscernible] of the camera. The same with the number of bits per pixel -- when you see through a fog with 8 bits per pixel will you see the difference between red and green light, what you easily see with 12 bits per pixel. This is a lot of data. This data is very fragile. It is -- the fragile is not linear, like when you move from 4 gigabit to 8 gigabit, it's more than double the fragility. It's a lot -- it's far more agility. And those companies who are coming now understand it, and they require a very, very stable link, and this is where we are. Hope I answered both, Suji? 
Operator: The next question is from Brian Dobson of Chardan Capital Markets. 
Brian Dobson: I guess just to lead off, I wanted to follow up on some of the important inroads you made with large educational groups in Florida? Has this opened up more of the education market to you? And have you received any kind of feedback from other, call it, large school districts? 
Gideon Ben-Zvi: Yeah. First, nice to see you again, Brian, and thank you for your question. Education markets, we are active in this market, and this market has a lot of tendency of what's called B2G, business to government. Business to government is -- has the tendency of the kind of sales we do, which sometimes depends and in -- depends in actually in government the decisions that sometimes takes slower but on the other side, when it rains it pours. So we are growing in this market, some of the things go faster or actually slower than what we anticipated in the beginning, but we predicted. But the market of education is a very important market for us and hybrid education is into stay -- is here to stay and will have more and more installation in this world and we have, I believe, also the right partner for this market. So yes, it is a market that is B2G, business to government, but it's here to stay, and we are a strong believer in the upside we have in this market. And by the way, I would add something, we started in the market with the VA6000, but we see great potential with the VS6320. The difference in the camera, which is VS6320 and VA6000 will be in the resolution in our ability to zoom and the ability to not to see pixel and the depth of the color. And it is a very, very important move. So I think it's -- I believe it will also give us a [ boot ] in this market in the significant increase of the quality that we enable the camera when it is -- which is installed in a distance from the computer that calculates what it is. 
Brian Dobson: Yeah, very good. And then do you think you could provide us with some feedback you're hearing from, call it, key stakeholders in the trucking industry in regard to your backup vision technology. 
Gideon Ben-Zvi: Okay. Thanks for this question. About the trucking industry, there are several answers. First, there is an answer about what's going on today, and it's now in test, on-field and the feedback we get, the drivers are very happy. But what we think is more interesting is our full solution for surround view. And this is a very big step forward that I believe will give us more -- it will give us more opportunities in the market, more dollars per vehicle in this market and far deeper solution because today, we're speaking about reverse camera. In the future, we will be able to answer all the blind spot that the driver has and the driver of a big truck when he turns might have blind spots in the angle where it connects the track to the trailer and there could be several areas of blind spots, and we believe that we are taking it even to the next need of this market. We believe in this market. We also try to do some movement in this market that will yield the result in the future. Truck industry is like automotive. It has the, I would say, the geological speed of automotive industry. 
Operator: [Operator Instructions] There are no further questions at this time. Mr. Ben-Zvi, would you like to make your concluding statement? 
Gideon Ben-Zvi: Yes, I will. And I would like to thank you all for joining us today for our Q1 2024 call and for continued support and interest in Valens Semiconductor and hope to see you in our next earnings call soon. Thank you very much, everyone. 
Operator: Thank you. This concludes the Valens Semiconductor first quarter 2024 results conference call. Thank you for your participation. You may go ahead and disconnect.